Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Nordson Corporation Webcast for Fourth Quarter and Fiscal Year 2019. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]I would now like to hand the conference over to your speaker today, Lara Mahoney. Please go ahead.
Lara Mahoney: Thank you, Lisa. Good morning. This is Lara Mahoney, Vice President of Corporate Communications and Investor Relations. I am here with Sundaram Nagarajan, Nordson's President and CEO; and Greg Thaxton, Executive Vice President and CFO. We welcome you to our conference call today, Thursday, December 12, 2019 to report Nordson's fiscal year 2019 fourth quarter and year end results.Our conference call is being broadcast live on our Investor Relations webpage at investors.nordson.com, and it will be available there for 14 days. There will be a telephone replay of the conference call available until December 26, 2019, which can be accessed by dialing 416-621-4642. You will need to reference ID number 1057927.During this conference call, forward-looking statements may be made regarding our future performance, based upon Nordson's current expectations. These statements may involve a number of risks, uncertainties, and other factors as discussed in the company's filings with the Securities and Exchange Commission that could cause actual results to differ. After our remarks on the quarter, we will be happy to take your questions.With that, I will turn the call over to Naga.
Sundaram Nagarajan: Good morning, everyone. Thank you for joining Nordson's fiscal 2019 fourth quarter conference. I would like to begin by recognizing the Nordson's team for a strong performance against a challenging macroeconomic environment in 2019. Throughout my Nordson's site visits over the past four months, I've been very impressed by our passion for our customers. We're focused on serving our customer's critical needs, and creating precision technology solutions that bring differentiated value to our customer's businesses. Our focus on the customer, combined with the diversity of our end markets and applications continue to help us during these challenging macroeconomic times.For the fourth quarter, we generated solid organic growth of 4%. For the full year 2019, total company organic sales were down 1%, as compared to last year, where organic growth in both Adhesive Dispensing and Industrial Coating segments was offset by softness in electronics end markets served by the Advanced Technology segment. For the total company on a full year basis, we maintained operating margin and EBITDA margin in line with prior year despite lower sales, the distraction from tariffs.I'll speak more about our fiscal 2020 annual guidance in few moments, but first, I'll turn the call over to Greg Thaxton to provide more detailed perspective on our financial performance.
Greg Thaxton: Thank you, Naga, and good morning to everyone. Fourth quarter 2019 sales increased 3% compared to the prior year's fourth quarter. Change included an increase of approximately 4% organic volume, growth of less than 1% related to the first year effect of the fiscal 2019 acquisition of Optical Control, and a decrease related to the unfavorable effect currency translation of approximately 1%. Within the Adhesive Dispensing Systems segment, fourth quarter sales increased 1% compared to the prior year, inclusive of a 3% organic growth, and a 2% decrease related to the unfavorable effect of currency translation as compared to the prior year. This segment continues to benefit from the stability of consumer non-durable end markets as well as our growth initiative.Advanced Technology System sales decreased less than 1% compared to the prior year's fourth quarter, inclusive of a decrease in organic volume of less than 1%, an increase of 1% related to the first year effect of acquisitions, and a decrease of 1% related to the unfavorable effect of currency translation as compared to the prior year. The fourth quarter's acquisitive growth includes the fiscal 2019 acquisition of Optical Controls. Strength in medical end markets was offset by weakness in electronic end markets.Industrial Coating system sales increased 21%, compared to the prior year's fourth quarter. As discussed during our third quarter conference call, strong backlog entering the fourth quarter and solid order activity during the quarter drove organic volume growth of 22%. The unfavorable effect of currency translation negatively impacted sales by 1%, sales for the segment was a record quarter, and I'd like to thank the team for their efforts.Moving down the income statement, gross margin for the total company was approximately 54% in the quarter. Operating profit was $140 million, an increase of 20% compared to prior year, and operating margin was 24% as compared to 21% in the prior year's fourth quarter.On a segment basis, Adhesive Dispensing System segment delivered strong operating margin of 31% in the quarter, which is an increase of approximately 350 basis points as compared to the prior year's fourth quarter. We are seeing the benefit of the facility consolidation efforts in Germany and Austintown, Ohio, as well as some improved product mix impacts on gross margin. We are pleased to see the continued progress the team is making to drive margins within this segment.Within the Advanced Technology Systems segment, operating margin was 22% in the fourth quarter, which is an increase of approximately 150 basis points as compared to the prior year's fourth quarter. This margin enhancement is largely driven by lower spending in the quarter, as compared to the prior year's fourth quarter.Industrial Coating System segment improved operating margin by 425 basis points to 25%, which is a record for this segment. This margin enhancement is largely driven by better absorption and lower spending in the quarter as compared to the prior year's fourth quarter.On a total company basis, net income for the quarter was approximately $103 million, and GAAP diluted earnings per share were $1.76. Excluding restructuring charges to step up in value of acquired inventory, and a net discrete tax expense in the quarter, adjusted diluted earnings per share was $1.79. EBITDA increased 15% over the prior year's fourth quarter to $164 million, or 28% of sales, and free cash flow before dividends increased 9% over the prior year's fourth quarter, or 125% of net income.I'll now share a few comments on full-year results. Sales for the fiscal year were $2.2 billion, a decrease of 3% compared to the prior year. This change in sales included a decrease in organic volume of 1%, growth related to the first-year effect of acquisitions of less than 1%, and a 2% decrease due to the unfavorable effect of currency translation, as compared to the prior year.Full year operating profit was $483 million. Reported operating margin was 22%, which is equal to last year's operating margin, despite lower sales. Net income for the full-year was $337 million, and GAAP diluted earnings per share were $5.79. Adjusted diluted earnings per share to exclude restructuring charges, the step up in value of acquired inventory and a net discrete tax expense was $5.87.EBITDA for the full-year was $587 million, or 27% of sales, equal to the prior year. Free cash flow before dividends was $320 million, or 95% of net income. From a balance sheet perspective, net debt to EBITDA was approximately 1.9 times trailing 12 months EBITDA at the end of the fourth quarter. In addition to funding organic and acquisitive growth initiatives with our free cash flow, we return value to our shareholders by distributing $82 million in dividends, and investing $115 million for the repurchase of shares during the year.A reconciliation between GAAP earnings and adjusted earnings per share is included within the financial exhibits of our press release. Our press release also includes financial exhibits reconciling net income, free cash flow before dividends, and adjusted free cash flow before dividends, as well as EBITDA, and adjusted EBITDA.Moving on to fiscal 2020 guidance, forecasting organic sales volume growth in the range of 1% to 3%, as compared to fiscal year 2019, growth from the first-year effective acquisitions will add 20 basis points, and based on the current exchange rate environment, we expect an unfavorable currency translation effect of 30 basis points as compared to fiscal 2019. With the sales outlook, we expect to hold operating margin and EBITDA margin equal to fiscal 2019 results, offsetting the dilution of inflationary pressure on costs.We expect fiscal 2020 to be a typical year from a seasonality perspective, with a stronger second-half than the first, and with the first quarter being the softest quarter from the revenue perspective, and our margin performance will follow this pattern, given our direct model, where we have a relatively consistent level of spending from quarter-to-quarter. We expect interest expense to be approximately $36 million in fiscal 2020, and maintenance capital expenditures to be approximately $50 million. Company's estimated effective tax rate for fiscal year 2020 is approximately 22%. Based on this outlook, GAAP diluted earnings per share growth is forecasted to be in the range of 2% to 6%, as compared to fiscal year 2019 GAAP diluted earnings per share.
Sundaram Nagarajan: Thank you, Greg. Once again, I want to thank our team for delivering a solid full-year result against a challenging macro environment. As we look forward to fiscal 2020, we are taking a conservative approach to our outlook as we're not seeing indications that next year will be any better than the fiscal 2019 from a macroeconomic perspective. And though we are hopeful we'll see improved project activity in electronic end markets, convert into improved order trends, we are assuming a flat outlook for these product lines in fiscal 2020. The resilience of other end markets we serve, notably, consumer non-durables and medical, gives us confidence that even against a challenging macro environment, we will achieve total company organic sales growth in fiscal 2020.Before we move into Q&A, I want to recognize the important announcement that we made this morning. Greg Thaxton has announced his intention to retire in 2020. Greg started with Nordson in 1989 as a Financial Analyst. His sound judgment, strong financial acumen, and strategic leadership drove his success within the organization. Since 2008, he has served as Nordson's Chief Financial Officer. On behalf of the Nordson team, and our Board of Directors, I want to thank Greg for his many contributions to Nordson. Personally, I've appreciated Greg's leadership, perspective, and humor, as I've transitioned into the role of CEO. His passion for Nordson is evident to everyone who interacts with him.As a new CEO, one of the last things you want to hear is that your CFO is thinking about retiring. Greg was gracious to put his plans on hold so that Nordson could first execute a smooth CEO leadership transition. Now, it's his turn, and I wish you Greg and your family nothing but the best as you begin planning for this new chapter in your life, but before Greg gets too excited, he has committed to staying with us until his successor is identified and onboarded. Greg, would you like to say a few words?
Greg Thaxton: Thank you, Naga. Earlier this year, I marked 30 years with Nordson. It has truly been a pleasure to be part of such a great organization, and I want to thank all those I have worked with over these many years. With Naga's direction, and the collaboration and support of our executive team, the company is planning for its next phase of profitable growth. This is an exciting time for Nordson, and I know the company is well-positioned, and I will remain committed to ensuring a smooth transition over the next several months.
Sundaram Nagarajan: Thank you, Greg. We will be launching a search for Greg's successor, including both internal and external candidates. Thank you for your time and patience during this morning's call. We will now pause and take your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Christopher Glynn from Oppenheimer. Your line is open.
Christopher Glynn: Thank you. Good morning, everyone, and Greg, congrats on a great long run at Nordson.
Greg Thaxton: Thank you, Chris.
Christopher Glynn: A question on medical, I'm wondering if there is any like key program roll-offs you need to transition through on the horizon, or if you're expecting consistent performance with the long-term organic view there?
Sundaram Nagarajan: Chris, thank you for your question. We don't see any roll-offs that significantly impact our performance. We had a real strong year in medical with 11% organic growth, and our expectations will continue to be consistent with our performance in medical.
Christopher Glynn: Great. And then, just on the flat margin outlook for next year, understanding your conservative caveat, it does seem ADS built some structural momentum in the profitability in the second-half, and at ATS, the electronics is kind of scraping the bottom it seems, and you should have medical leverage. So, it seemed more intuitive that there is a bit of embedded margin tailwind there, if you could kind of comment on that the view?
Sundaram Nagarajan: If you look at the midpoint of our sales forecast and include some currency offset and consider that we are a direct organization, we want to stay invested in our technology development and our sales interactions with our customers, we do expect inflationary impact on our labor costs, so there is really -- at the midpoint of our sales forecast there is probably not significant improvement to our margin, but as we move towards the higher end of our sales target, we would expect positive margin leverage.
Christopher Glynn: Okay, great. Thank you. I will pas it on.
Operator: Our next question comes from the line of Matt Summerville from D.A. Davidson. Your line is open.
Matt Summerville: Thanks, and congrats, Greg. First, maybe can you just give a little more granularity into demand trends you saw in the fourth quarter and kind of what the outlook is for the different pieces of ADS being rigid, you know, polymer, non-wovens product assembly?
Greg Thaxton: Yes, Matt. This is Greg. Order trends within adhesives, again, that's the kind of the resilient set of end markets with the non-durables have held up pretty well, pretty short, overall short cycle lead time. So, the performance that you saw in fourth quarter and really the full year is indicative of the resiliency of those end markets. We don't go down to that product line level, but we'd expect to continue to benefit from the strength of those end markets as well as where we bring innovation to new applications and new opportunities. So that's part of the business even against these challenging times, as we would expect it's held up pretty well.
Matt Summerville: And then, maybe if you guys can just comment on what you're seeing in terms of actionability in the M&A pipeline, outside of medical, are there other areas and maybe test on the electronic side, outside of those two areas. Naga, are you looking to explore sort of other types of M&A avenues for the company going forward?
Sundaram Nagarajan: These are fairly still early in sort of thinking about it. We still have significant opportunity in scaling up our medical platform and our testing inspection platform. So, we remain focused there. There are still opportunities. When they come to market is something we can't really determine, if we ever run out of opportunities there, you know, there are always other areas we're looking at, but in and out of the moment, so…
Matt Summerville: Got it. Thank you, guys.
Operator: Our next question comes from the line of Allison Poliniak from Wells Fargo. Your line is open.
Allison Poliniak: Hi, guys. Good morning, and congrats Greg on the announcement today. You talked about ADS and some project, I guess, inquiries, could you talk relative to last year, are these increase picking up, I know it's tough to say if they'll move forward, but how was your feeling around this increase of projects for 2020?
Sundaram Nagarajan: Allison, we certainly still see pretty good project activity. We're in middle of all of that. As you know, we're a market leader in those applications, where our customers lean on our technology and our capability to solve problems. So, we're in the middle of a lot of activity. We have not seen them convert into order rates or our order rates have not significantly picked up, but we're right in the middle of those projects. We feel very good about our market position, and continue to work with our customers. And as and when those project activities turn into orders, you will see us adjust our expectations.
Allison Poliniak: Great. And then, just -- I guess your overall feeling, I mean, do you feel like we've reached some level of stability there where your downside risk is a little bit more minimal at this point?
Sundaram Nagarajan: Yes, if you can sort of think about what we're seeing in our businesses today is, from third to fourth Quarter, we continue to see neutral, we really don't see any downside.
Allison Poliniak: Great, that's helpful. Thank you.
Operator: Our next question comes from the line of Jeff Hammond from KeyBanc Capital Markets. Your line is open.
Jeff Hammond: Hey, good morning, guys; Greg, congrats, good to hear.
Greg Thaxton: Thank you, Jeff.
Jeff Hammond: Hey. Maybe just staying on electronics, where are you seeing specifically activity levels pick up that may not translate into orders?
Sundaram Nagarajan: So, if you think about our electronic business, we are involved in a very diverse set of applications and end markets, including semiconductor packaging, product applications, to PC board, to automotive electronics, to 5G, so it's not one particular driver or the other, but overall throughout the electronics throughout the electronic supply chain, we are involved in multiple different applications, as you know, and we find that the project activities are pretty strong across the board.
Jeff Hammond: Okay, maybe you can just comment on, I think you've talked at length about 5G and what you're seeing there, and then, just in terms of infrastructure and then what you're hearing from the mobile handset guys? Thanks.
Sundaram Nagarajan: So, as I would tell you that, you know, 5G projects continue to be in project phase and conversation, and discussions, and product development phase. Really, as you think about 5G infrastructure rollout, they are slower than expected. Probably early days now, in terms of how these projects convert into orders, but in general, you will find that our activity levels are pretty good, and we're so engaged in solving issues for people. So, we feel good about our project activity, it just -- you know, they've not converted into orders yet, so…
Greg Thaxton: And Jeff, it's Greg. I would add just from, what we tend to see from a seasonality perspective, this is kind of a low point at which we would tend to see project activity for some of those end markets that you were referring to.
Jeff Hammond: Okay. And then, I know you won't give segment guidance, but would you expect each of the segments to be within that 1% to 3% organic, or I guess, Industrial Coating tends to be a little more economically sensitive, is there maybe a little more pressure there?
Sundaram Nagarajan: As we look at 2020, we feel good that at the mid to high end of the -- you would expect to see organic growth across the segment.
Jeff Hammond: Okay. And then, just housekeeping, I think you said $0.03 of kind of one-time items, can you spike that out on kind of a pre-tax basis, where would it hit the segments, or if there's -- I think you mentioned a tax item, or if anything hit corporate? Thanks.
Sundaram Nagarajan: Yes. It really isn't significant across the segments. It's primarily some restructuring charges that hit across the segments, as well as corporate, and makes up the bulk of it. So it's not enough to really move margin performance for any particular business.
Jeff Hammond: Okay. Thanks a lot.
Operator: Our next question comes from the line of Mike Halloran from Baird. Your line is open.
Mike Halloran: Hi, good morning everyone, and congrats, Greg. So, first on the operational improvement side, it sounds like that's going well on the adhesives, maybe just some context on what you're seeing there and thoughts on what kind of actions you're thinking about into 2020?
Sundaram Nagarajan: On the operational improvement side, on the Adhesive segment, pretty much as you indicated, all of those came from consolidations that happened last year. We're through most of those. We feel like we're in a pretty good place in terms of margin performance here. I would say, really the margin performance in that business is going to be more proportional to the volume rather than any structural restructuring that is still left in the business…
Mike Halloran: Okay, that makes sense. And then the follow-up is when you're thinking about bridging GAAP to adjusted earnings for fiscal 2020, at this point, and is the thought that based on what you know today, the GAAP and the adjusted numbers are about equal in the next year, or is there something -- or is there any -- anticipated restructuring or other items that you think could?
Greg Thaxton: No. Mike, this is Greg. It would be pretty much in line with the growth in reported EPS.
Mike Halloran: So, you're saying GAAP, the expectations for GAAP EPS growth should be similar for adjusted EPS growth, adjusted 2020 versus adjusted 2019?
Greg Thaxton: Correct.
Mike Halloran: All right, great. I appreciate the time. Thank you.
Greg Thaxton: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Walter Liptak from Seaport Global. Your line is open.
Walter Liptak: Hi, thanks. Good morning, guys, and congratulations, Greg. It's been a good run. I wanted to ask about the geographic regions, and there's -- it looks like the U.S. recovered a little bit, that's probably on the back of coatings. So, I wonder if we can just kind of review some of the geographic regions, and think about the EU, which looks like it weakens a little bit, as well as Japan and Asia Pac, which looks like they may be starting to recover, just any trends that you're seeing there.
Greg Thaxton: Yes, Walt, this is Greg. I think you characterized some of it pretty well. U.S. volume really in the quarter, we saw good growth across each of the segments. Europe to a large extent is related to some softness. We've talked along throughout the year of some challenging comps within certain product lines within ICS [ph], primarily non-woven product line being up against really challenging comps from the last couple of years, and that's where many of the OEMs are located. So that's the largest impact there within Europe, and then in Asia Pacific, we're in the quarter, really some good strength across all the segments.
Walter Liptak: Okay, great. The coatings part of the business, we had that slowdown last quarter, and then it looks like those shipments that got delayed came through. How did things look as you start the 2020 period, or are we back to kind of that macro overhang on coatings?
Greg Thaxton: On the coatings, you're right, the fourth quarter, we suddenly realized the strong backlog that's going into the quarter. As we look into 2020, our expectations are it's going to be GDP kind of business. Really, we're through most of shipping all of our backlog there, but we're well-positioned to deliver on the GDP type of growth rate for ICS.
Walter Liptak: Okay, great. And then, last one from me, just going back to the 5G, comments about infrastructure and mobile, for those of us who don't get the visibility that you do, why is the infrastructure part of that pushing out, and is there any region of the world where there's [indiscernible]?
Greg Thaxton: So, think about the U.S. and the Europe, and just think about overall supply chain in the 5G has been disruptive pretty dramatically, because of -- trade disputes and such, and that is really a lot of project activities on a slower pace, and so, if you think about 5G technology as they transition into the phones, you really want to consider that the infrastructure work needs to get done first. Then if you back on the supply chain issues that have been created, that is really in our sort of understanding and recognition, that's sort of where there is some slowdown.
Walter Liptak: Okay, great. Thank you.
Operator: Our next question comes from the line of Chris Dankert from Longbow Research. Your line is open.
Chris Dankert: Hi, good morning everyone, and congratulations again, Greg. Did want a just quick talk on semis broadly and if you could just comment on what you're seeing at trends on tests and inspections specifically, that'd be really helpful.
Sundaram Nagarajan: On the semi, yes, we do see increased activity, and certainly we on the test and inspection side, especially our X-ray businesses, given the complexity of the new semis that are starting to come out, [indiscernible] two-and-a-half. We are starting to see some new opportunities. We are in lots of new project activities right now still going on. So, our expectation as those project activities convert into orders that we would adjust our expectations for that thing.
Greg Thaxton: And Chris, this is Greg. We've commented throughout the year that when you look at the electronic systems portion of advanced technology, it's really been the dispense platform that's been the area that we've seen the challenge against prior years. Test and inspection has held up pretty well for us this year, given all of these trends that are occurring within those spaces, and it's an area that we would expect to see some good growth opportunity going forward.
Chris Dankert: Got it, got it. Thanks for the color there, guys. And circling back to Mike's question a little bit, obviously, we did lap the duplicative costs in Adhesive Dispensing and kind of that realignment, but my understanding was there was supposed to be some additional back-end synergies, as we kind of moved away from that, or is it as you said, I mean, we just need to get volumes to really see that benefit first?
Greg Thaxton: Yes, this is Greg. We are through most of that, the consolidation that the period where we are incurring the duplicate costs, we were behind much of that at the end of last year and into this year. So, where we're going to see the benefit going forward would be as we're operating in a more efficient environment both from the standpoint of two facilities versus five, as well as where we've made investments in automation within the manufacturing environment, that's where we'll see the pick up, the efficiency gains in margin going forward. So, it's about pushing volume through this current state.
Chris Dankert: Understood, that makes sense. And just one last one for me, on kind of what the M&A strategy is again, as you said medical kind of remains top of mind, test inspection, and I didn't hear -- as kind of the battery ceiling and pulled material dispensing that's still kind of on the menu as an additional M&A target?
Sundaram Nagarajan: Yes. On the battery side, we have significant -- I would say organic growth opportunities in battery, and we've made some nice progress. We've made some nice wins in the marketplace, certainly some of which you're seeing in the ICS business, but we remain focused there, but it is not as big an opportunity when you compare it to test and inspection and our medical platforms.
Greg Thaxton: Yes, we're participating in battery really in each of the three segments, and continuing to work with those who are driving the innovation there. So, it wouldn't be one that we would highlight as a target for M&A, it's more ensuring that we're funding the organic growth opportunities there within each of our segments.
Chris Dankert: Got it. Thanks so much, guys.
Operator: And our next question comes from the line of Christopher Glynn from Oppenheimer. Your line is open.
Christopher Glynn: Yes, I wanted to ask if the parts and consumables that perform pretty steady and in particular at ATS, as we're going through an extended period between equipment cycles for electronics, should [indiscernible] pick up in the products consumables, they're just wondering about that optionality?
Greg Thaxton: Yes, Chris, this is Greg. On a full year basis -- and this would be kind of intuitive in a year where in some of the segments, our systems volume was down. On a full year parts, we are about 56% of revenue. Now, that's also aided by continued strong growth in medical, which is -- falls into that parts and consumables category. So, if we start to see a pick up in some of our end markets, and we're getting more system demand across the portfolio that might moderate a bit. On the other hand, we expect to continue to see medical growing at the kind of rates that we've been talking about historically. So, it's up a bit from historical, largely due to growth in the medical portion of the portfolio.
Sundaram Nagarajan: And just it's also a math, right, because our systems as a percent of 70 was down. So, it certainly, you know, but we're pretty pleased with how we are growing that part of the business, and so, our expectation is that this will continue to be a big part of while we continue to grow the business.
Christopher Glynn: Okay. Yes, I'm just wondering also if you see a particular driver that kind of necessitates for better growth into electronics products, as the equipment [indiscernible] install base.
Sundaram Nagarajan: No, I would suggest that if we see an improvement in those end markets, it's going to be more about systems volume that's driving the top line.
Christopher Glynn: Got it, thank you.
Operator: We have no further questions in queue. I'll turn the call back to the presenters for closing remarks.
Sundaram Nagarajan: Again, I want to thank you for your support. Despite macro challenges for our business, the diversity of our end markets and our focus on customer solutions will allow us to grow and improve margins over the long-term. We appreciate your time and attention on today's call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.